Operator: Good afternoon ladies and gentlemen and welcome to the AerSale Inc. First Quarter 2023 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Tuesday, May 9th, 2023. I would now like to turn the conference over to Christine Padron, VP of Compliance. Please go ahead.
Christine Padron: Good afternoon. I'd like to welcome everyone to AerSale’s first quarter 2023 earnings call. Conducting the call today are Nick Finazzo, Chief Executive Officer and Martin Garmendia, Chief Financial Officer. Before we discuss this quarter's results, we want to remind you that all statements made on this call that do not relate to matters of historical facts should be considered forward-looking statements within the meaning of the federal securities laws, including statements regarding our current expectations for the business and our financial performance. These statements are neither promises nor guarantees, but involve known and unknown risks, uncertainties, and other important factors that may cause our actual results, performance, or achievements to be materially different from any future results. Important factors that could cause actual results to differ materially from forward-looking statements are discussed in the Risk Factors section of the company's annual report on Form 10-K for the year ended December 31st, 2022, filed with the Securities and Exchange Commission, SEC, on March 7th, 2023, and its other filings with the SEC. These filings identify and address other important risks and uncertainties that could cause actual events and results to differ materially from those indicated by the forward-looking statements on this call. We'll also refer to non-GAAP measures that we view as important in assessing the performance of our business. A reconciliation of those non-GAAP metrics to the nearest GAAP metrics can be found in the earnings presentation materials made available on the Investors Section of the AerSale website at ir.aersale.com. With that, I'll turn the call over to Nick Finazzo.
Nick Finazzo: Thank you for that explanation Christine. Good afternoon and thank you for joining our call today. I'll begin with a brief overview of the quarter and provide operational updates before turning the call over to Martin to review the numbers in greater detail. Our first quarter results were in line with our expectations and reflect the cadence of flight equipment sales we shared last quarter. This resulted in total first quarter sales of $78.3 million compared to $122.8 million in the first quarter of 2022. I would remind investors that the prior year quarter included the sale of a highly modified 737 aircraft that was used for AerAware testing in our TechOps segment, which added $24 million in high margin sales. The remaining decline compared to the prior year period was entirely the result of the timing of whole asset sales as we had $27.7 million in aircraft and engine sales during the first quarter of 2023 compared to $51.9 million in the first quarter of 2022. Excluding the sale of whole assets and the X AerAware 737, the remainder of our business grew approximately 8% year-over-year as strong growth in our TechOps segment more than offset a modest decline in asset management. As we note every quarter, it is important for investors to analyze AerSale on a full year basis and assess feedstock and whole asset sales to fully capture our performance as quarterly, sales volatility is common based on the size of flight equipment transactions. Further, while flight equipment sales add substantial variability by quarter, it is important to understand that these activities are an essential, profitable, and recurring component of our end-to-end solution. Specific to 2023, we continue to expect higher whole asset sales related to our 757 P2F conversion program in the second half. As a result, the year-over-year quarterly comparisons will be more dramatic as we report this year as 2022 was heavier weighted toward whole asset sales in the first half. Further, we expect the success of our feedstock acquisitions, which have included nearly $125 million in awarded deals year-to-date to bolster our second half results. Turning to profitability, our adjusted EBITDA in the first quarter of 2023 was $5 million or 6.4% of sales compared to $29.9 million or 24.3% of sales in the prior year period. The lower EBITDA margin observed in the period resulted from lower cost absorption from lower sales during the quarter combined with an unfavorable mix from fewer high-margin whole asset sales. At the segment level and beginning with asset management, first quarter sales were $48.4 million compared to $74.5 million in the prior year period, primarily the result of lower flight equipment sales and planned reductions in our aircraft lease portfolio. In the first quarter of 2023, we sold one engine, one airframe, and two aircrafts. This compares to six aircraft and four engines that we sold in the prior year quarter. Looking forward to the balance of the year, we continue to expect flight equipment sales to be stronger beginning in the third quarter. This expectation is supported by a very strong feedstock acquisition cycle at the start of the year combined with forecasted deliveries of 757 P2F aircraft. As Martin will detail in our guidance, we've subcontracted for an additional 12 conversions from multiple providers of which one has been completed and sold in Q1 and eight more are expected to be completed over the remainder of 2023, and three in Q1 2024. In our USM Parts business, airframe and engine parts sales were roughly flat compared to the prior year, which despite a stronger commercial backdrop, was constrained somewhat by lower feedstock purchased in 2022, resulting in less feedstock available for sale in early 2023. As noted, we expect sales from feedstock to improve materially as the year progresses based on asset acquisitions completed year-to-date. In our leasing portfolio, revenue was down compared to the prior year as we had only one aircraft and fewer engines on lease during the period. As a reminder to investors, we're agnostic to the type of sale in our asset management business and seek to maximize return on investment on feedstock through the highest return in current market conditions between USM parts, sales, leasing, or whole assets. As a result, we decided to sell our remaining aircraft on lease during the quarter, a 737-400 freighter as we concluded that the ROI associated with continued leasing would be significantly less than a sale in a very favorable market for this type of flight equipment. In our TechOps segment, reported sales were $29.8 million compared to $48.3 million in the prior year. Excluding the $24 mi sale of the X AerAware 737 in 2022, our underlying sales grew 22.7% as a stronger commercial aerospace backdrop and better MRO availability bolstered volume in the quarter. In our Engineered Solutions unit, we made substantial progress in our effort to obtain FAA approval of our enhanced flight vision system, AerAware product during the quarter. We've been testing this product on two aircraft since August 2020 in order to be issued a Supplemental Type Certificate, which may referred to as an STC and to commercialize this product. As part of the certification process, the FAA required among other things that we prove this system through FAA observed flight tests with the FAA scheduling five sets of flight tests beginning in February 2023. We successfully completed the first four sets of flight tests from February through the end of April. The most important of which proved that the enhanced flight vision capability met the criteria set up by both AerSale and the FAA for STC certification. We're currently working diligently to schedule the fifth set of flight tests, which will complete the flight testing aspect of the certification process. We expect this to occur once our engineering team has completed a minor software change to address FAA comments from the first four flights. The FAA approval process is lengthy and exhaustive to ensure public safety, which is underscored by the excellent safety record of the US commercial aviation network. Through this we have continually improved the system to near-perfection and as a result, we believe the safety and quality aspects of our advanced technology product is superior to anything available on the commercial market today. Further, given the substantial investment of time and resources to obtain an STC of this complexity, we believe we'll be in an excellent position to become the market leader in the category. To that end, after demonstrating to the FA how the system worked at low visibility conditions, that feedback was very complementary. We're excited to be near-completion, considering all the positive comments from the FAA and the interest of multiple potential customers. Turning to capital allocation and our feedstock program, we remain ready with ample liquidity to execute on equipment packages that satisfy our financial requirements. In total, we have more than $230 million of capital to deploy to support our growth strategy comprised of $87 million on our balance sheet and an additional $150 million undrawn on our revolver. As we noted several weeks ago during our year end call, we had a notable uptick in feedstock availability at year end and into the first couple of months of the year. Year-to-date, we have won nearly $125 million in flight equipment packages, with slightly over $50 million already closed and another $70 million awarded and in the process of closing. We expect this added inventory to support our full year projections and drive a stronger second half of the year. To add further context, this rate of feed stock acquisitions compares to just $50 million in all of 2022 and is the most important leading indicator to the future performance of our asset management segment. Before turning the call over to Martin, I would also like to welcome Andrew Levy to our Board of Directors, which we announced in April. Andrew joins us with over three decades of corporate and entrepreneurial experience in the aviation and telecommunications sectors, and he brings a wealth of knowledge to AerSale as a founder of Legionnaire, his work as the CFO of United, and as the Founder of Avelo Airlines. We're thrilled to have Andrew on the Board and we look forward to working with him. To conclude, we're exactly where we expected to be as of the first quarter and we continue to make progress in securing the feedstock we need to drive higher volume in the back half of the year. On AerAware, we have passed significant milestones to being awarded our STC, and look forward to the final steps of the certification process. I would like to thank all our employees for their dedication to AerSale and for their efforts to delivering on our commitments to all our stakeholders. Now, I'll turn the call over to Martin for a closer look at the numbers. Martin?
Nick Finazzo: Thanks Nick. I will start with an overview of our first quarter financial performance and end with our guidance for 2023. Our first quarter revenue was $78.3 million, which included $27.7 million of flight equipment sales comprising of two cargo aircraft, one airframe, and one engine. Our revenue in the first quarter of 2022 was $122.8 million and included $75.9 million of flight equipment sales consisting of six aircraft and four engines. Excluding flight equipment, the companies continued to demonstrate underlying growth as our base revenue increased to $50.6 million from $46.9 million in the prior year. As we have pointed out during multiple earnings calls, flight equipment sales fluctuates significantly from quarter-to-quarter and we believe monitoring our progress based on asset purchases and sales over the long-term is more appropriate. As a result of these factors, first quarter asset management revenue was down 35% to $48.4 million, mainly as a result of lower flight equipment sales consisting of two cargo aircraft, one airframe, and one engine. USM Parts sales were close to the prior year quarter levels, but are expected to increase due to improved demand and availability of feedstock going forward. Aircraft leasing revenue was lower because of a planned reduction in the number of aircraft in the leasing portfolio. TechOps revenue fell 38.3% to $29.8 million in the first quarter from $48.3 million in the year ago period. The decrease is primarily due to the sale of a Boeing 737NG in the first quarter of 2022. The Boeing 737NG was highly modified for a US governmental agency and previously used for AerAware flight testing. Excluding the aircraft sale, which is not typical in our TechOps segment, sales grew 22.7% as a result of strong demand for MRO services, particularly at our Goodyear on airport facility. As we have mentioned on previous earnings call, AerSale subcontracted third-party providers at the beginning of the fourth quarter of 2022 to perform 12 757 P2F conversions, which were initially planned to be completed at our Goodyear facility. In line with our plan, the transition opened up our own capacity to expand volume for third-party services and drive revenue and margin growth. First quarter gross margin was 31.2% compared to 38% in the first quarter of 2022, largely due to the sales mix in the first quarter, which included fewer higher margin flight equipment sales. Selling, general, and administrative expenses were $25.2 million in the first quarter of 2023, which included $2.7 million of non-cash equity-based compensation expenses. Selling, general, and administrative expense were $23.8 million in the first quarter of 2022 and included $3.8 million of non-cash equity-based compensation expenses. First quarter loss from operations was $0.8 million, while income from operations was $22.9 million in the first quarter of 2022. Net income was $5,000 in the first quarter compared to $17.2 million in the first quarter of 2022. Adjusted for non-cash, equity-based compensation, mark-to-market adjustment to the private warrant liability, and facility relocation, first quarter adjusted net income was $3.3 million, while adjusted net income was $22.2 million in the first quarter of 2022. First quarter diluted earnings per share was $0.00 compared to $0.32 in the first quarter of 2022. Excluding the adjustments mentioned, first quarter adjusted diluted earnings per share was $0.07 compared to $0.41 for the first quarter of 2022. Our adjusted EBITDA was $5 million in the first quarter of 2023 compared to $29.9 million in the prior year. The decrease in adjusted EBITDA was largely a consequence of lower flight equipment sales. Cash used in operating activities was $62.4 million, primarily as a result of cash deployed to increase inventory availability. Finally, moving to our guidance for 2023. We are reiterating our full year guidance and continue to expect to generate revenue of $460 million to $490 million and adjusted EBITDA of $70 million to $80 million in 2023. This guidance reflects our expected flight equipment sales during the year and anticipated volume in our ongoing operations. Guidance for 2023 does not reflect potential sales of AerAware as the product is in its final stages of approval and will be updated once the STC is issued and we can assess initial order and delivery schedules. As anticipated, our first quarter results included significantly lower flight equipment sales than in the prior year, which adversely impacted our margins. We expect this trend to continue through the second quarter and improve into the second half of the year. As a reminder, this will produce significant variation in year-over-year performance as 2022 included record first half flight equipment sales with softness in the second half, while this year is expected to have low flight equipment sales in the first half with a stronger second half. The underlying momentum of our other businesses remain strong and we are confident that they will continue to perform well. We expect our second half to be underscored by stronger USM and flight equipment sales, incremental deliveries on our P2F conversion program, and supported by a continued recovery in commercial aerospace. We have ample liquidity available to execute on our feedstock acquisition program that will drive revenue and margin growth going forward. With that operator, we are ready to take questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Bert Subin, Stifel. Bert, please go ahead.
Bert Subin: Hey, good afternoon, Nick, Martin.
Nick Finazzo: Hey, Bert.
Martin Garmendia: Good afternoon.
Bert Subin: Hey. Maybe onto the USM comments, I think there was an expectation coming to the year that that was going to pick up pretty substantially as your feedstock acquisitions were starting to ramp. Can you just talk about what you think the revenue tailwind from USM could be this year versus 2022? And then can you delineate between the USM feedstock acquisitions and feedstock acquisitions that were intended more for the whole asset side when you were talking about your comments on what you acquired so far this year?
Nick Finazzo: You want that one? I'll do it. Okay. With regard to the revenue tailwind on USM, we started seeing a pickup of available USM at the end of available feedstock that would feed both USM and whole asset refurbishment and/or sale or lease towards the end of 2022 and into the first quarter of 2023. And as we announced in the last earnings call, we had under contract $107 million of feedstock that was -- that we were expecting to buy, which consisted really of everything. Aircraft, airframes, engines of all types. CFM -- they CFM36-5, -7, A320s, 737s, A330, I don't know if I'm missing anything, 757. And some of that equipment -- I'm not going to give you the breakdown because I don't really have it, but some of that equipment will end up as whole aircraft that will be fed into our potential aircraft trading and leasing portfolio. Some of it will be refurbished as whole engines that will be fed into our engine leasing portfolio and some of the airframes and engines will be broken down into USM parts. So, we're in very good shape based on what we've acquired thus far. We're not quite -- we're almost halfway to what we projected to buy for the whole year and we're not yet finished with the first half. The cadence of USM sales follows the purchase -- the acquisition of USM, by anywhere from 90 to 180 days. And during that time, we're acquiring equipment, we're completing the records, we're getting it refurbished or modified for ultimate resale as a whole asset or at the piece of art level. So we start seeing sales of that again as early as 90 days we find something that doesn't need much work, but it could be as late as 180 days so that if you think about what we've acquired thus far in the first half, it will start making substantial results in our second half and what we're buying in the second half, some of it, although not a substantial portion of it, but some of it will be available for sale or lease or sale at the piece part level in the second half, but most of it that we buy in the second half will flow into 2024. I think that was your first question. I don't remember your second one.
Bert Subin: No. No. That's good. That so just to clarify, the 112 that's the year-to-date number or what was the what was the period through which that was?
Nick Finazzo: 125 is -- it's year-to-date as of too. So, we're not finished.
Bert Subin: Yes. Got it. Okay. Thanks for that. And on the 757 deliveries, I think you mentioned the cadence. Could you just say what that was again? I think you had nine this year and three scheduled for the first quarter of 2024. Of those 757s, how many will you -- do you already own? How many do you need to acquire? And are you seeing any sort of impact from lower demand in the cargo market?
Nick Finazzo: So, we now have all the flight equipment and we need to flight both aircraft and engines to accommodate the 12 conversions that we've committed to. First actual aircraft was converted and was sold in the first quarter. So, there's 11 left So, we still expect to have this year eight more aircraft available for -- that will become available for sale or lease. And then there will be three and two we think in the first quarter of 2024. So, we started off slow because of the delay in getting a second or third provider by our STC holder precision. But now everything is on track and we are set to have deliveries of again eight more aircraft this year and three next year.
Bert Subin: Okay. Got it. And just my final question, and I'll turn it back over. It sounds like AerAware is getting pretty close to the finish line. Once that fifth flight test is completed, are there any additional hurdles you'd have to clear? I mean, not flight testing, but sort of otherwise with the FAA or do they become compelled, I guess, at that time to rule? And assuming this does clear that final stage, can you just talk about what steps you've taken thus far towards booking initial customer, and once you get a customer ultimately how the revenue flows? If you actually have to wait until you outfit half of the fleet or, any sort of dynamics around it?
Nick Finazzo: So, actually, that varies -- it's varying from customer-to-customer. Some customers have indicated that they won't -- they don't want the system until operational until they get half the fleet. Other customers don't seem to -- it doesn't seem to matter to them. They want whatever they can get as soon as they can get it. Everybody wants to know when the system is going to become available. We're working diligently. We're definitely on track to build the number of installed kits that we indicated at the beginning of the year that we would be at 100 for the year. I think we're at 55 already, and we're not at the halfway point. So, we're, and we're increasing that now to 15 per month. So we're on track to have available the kits we need to start selling. Elbit still has, Elbit and Universal still has to produce the hardware so we can finish the installations. We've got to find a customer that is ready to take these kits now. As soon as we get this thing approved, pilots will have to do pilot training. We may have to make modifications to their simulators so that they can do simulator training with the system installed in their simulator. And, that process is going to take time. Which is why even if we have orders soon after. We receive the STC. It's going to take time before the airlines can take them into their system and start using them. But we are talking to multiple customers. It's not just one. We've got tremendous interest from all the customers we've talked to the more and more customers want to fly the airplane. When we get them on the airplane and they fly it, they're amazed, candidly, at the system. If they're lucky enough to fly it in bad weather conditions, they can appreciate what this system will do for them when they face inclement weather and potentially have to divert their aircraft to other airports. So, good customer feedback thus far. Multiple customers that we're talking to, including still, nothing's changed. The major customer we've been talking to that I am still optimistic will be our launch customer for a substantial number of aircraft, a large U.S. domestic.
Bert Subin: Thanks a lot, Nick.
Operator: Thank you. Your next question comes from Ken Herbert, RBC Capital Markets. Ken, please go ahead.
Ken Herbert: Yes. Hey, good afternoon, Nick and Martin. Hey, Nick. Maybe initially, just on the 757s, for the eight you expect to get back this year at a conversion and then the three in 2024, how many of those are under some sort of purchase agreement or how many do you still have left to sort of get customer commitments for? And is this a risk that you see? And what would be the timing on sort of locking up contracts for these aircraft?
Nick Finazzo: So one of the questions I didn't answer was, is there a softness in the freight market? And the answer is, generally, yes. There is clearly a softness in the freight market. Now, is there a softness in the freight market with customers operating 757s? And I would say the answer to that is no. Is there a supply of 757s converted freighters available to satisfy that demand? The answer to that is no. Now, airlines are tight, or cargo airlines today are tight. They're holding on to cash. So the easy ability to sell these into a market where you've got cargo carriers needing 757s that are flush with cash, it's not so easy this year. So it clearly is a challenge for us to find a way to get the customers, the cash customers that can pay cash and buy these airplanes, the preference would be selling them for cash. But the alternative is to put them out on leases. And we are talking with both cash customers and lease customers. If we put aircraft out on lease, we have historically found customers that would take the aircraft on a longer-term lease at an ROI that that was less desirable for us But very desirable for a financial buyer. So we have sold aircraft when we put them on lease to financial buyers so if we go the lease route because we've been unable to find the number of purchased customers at the time these aircraft get delivered, we will seek to put them on a lease. We're not going to sit on aircraft if we can help it. We will place them one way or the other and there are multiple ways to sell an aircraft. It doesn't just have to be one you sell naked. Matter of fact, the first aircraft we sold were aircraft that we sold on lease. I think there's another question I could answer.
Ken Herbert: Well, I guess maybe how many of the eight this year or 11 total then are currently under contract? Or it sounds like maybe none of them are?
Nick Finazzo : No, no, I'm not going to say that. We have some under contract, not all of the ones that we had put in our forecast. That is clearly a risk factor for us. We're working hard on it. Again, good thing is, is that we've got pretty much the balance of available 757s that can be converted to freighter. The remaining ones, we've got them all. So we've got some work to do. And yes, it is a risk, I'm not going to deny it, that finding a purchaser for all of these is something that we've got to continue working on. But we're still optimistic that we will. And if we don't, we'll put them out on lease, and maybe we'll sell them with lease attached. So nothing has changed as far as our view on how we will perform on that package. It may slip to the right a little bit, how we will perform on that package. It may slip to the right a little bit, but we don't know that yet. I mean, we still have plenty of time left in the year, and we have a lot of aircraft that, some of which are committed, that are early deliveries, and the later ones are the ones that we've got to work on. And I'm not going to give you the specific numbers. I don't think that that's -- I think that that's not something that's worth -- that we should be discussing at this point.
Ken Herbert: Okay. No, that's fair, Nick. So, I think you indicated, I mean, last year you did in asset sales, excluding, the 737, the AerAware test aircraft you sold, you did about $200 million in asset sales. It sounds like the second quarter, an asset sale standpoint looks to be similar to the first quarter, and then you see a pretty significant step up in the third and fourth quarters. Are the third and fourth quarters similar with your visibility today, and how do we think about sort of this progression through the year for whole asset sales? I can appreciate there's risk around what gets leased and timing, but how does it look under the current plan?
Nick Finazzo : Well, it's definitely back end loaded to the second half of the year. I think that we'll only have one additional aircraft that's available in this next quarter. And it would be late in the, we think it's going to be late in June. So even delivering that airplane to a customer this quarter is going to be problematic because of how late it is in being delivered. That changes a lot once we get into the third and fourth quarter where just everything is on track. It's already in work, or most of it is in work. They're all in position. They all are where they need to be to get converted, so there's no delivery delays in getting equipment to where it needs to be. And things are on track as far as how -- getting the aircraft input and getting them out.
Ken Herbert: Okay. I think you -- I think, okay, I think you, that capture, I think obviously 125, you've got agreements or committed for, what's the full year target for capital deployed for whole asset or asset acquisitions? I think you indicated 250 million. I wanted to make sure we got that correctly?
Nick Finazzo : Correct, correct, 250.
Ken Herbert: Okay, perfect. All right, I'll pass it back.
Nick Finazzo : We think at the rate we're going, that is a reasonable expectation.
Ken Herbert: Are you starting to see --? Go ahead. Thank you.
Operator: My apologies, thank you. [Operator Instructions] Your next question comes from Michael Ciarmoli, Truist Securities. Michael, please go ahead.
Michael Ciarmoli: Hey, good evening, guys. Thanks for taking the question.
Nick Finazzo : Hi, Mike.
Michael Ciarmoli: Nick, just... How are you?
Nick Finazzo : Good.
Michael Ciarmoli: Just on AerAware. -- good, good. You, you mentioned software modifications were, was something that the FAA came back with. Can you maybe give some details, if you can, on what they were looking for? And I'm assuming because it's software, your existing inventory that you're building up, that should be too complicated to make upgrades there. And then, just really, what needs to happen after that fifth flight, assuming everything goes well?
Nick Finazzo : So, we've already -- we -- between us, the FAA, and Elbit Universal, we've already identified a very minor software switch to get the system to perform better than we observed on some of the flights. Not all the flights, but on some of the flights. So we've reviewed that with the FAA. We've all agreed on it. As a matter of fact, they came up with the same solution we did independently. It's been tested now in the lab, so we know that it works in the lab. We are installing it in our aircraft, so we're going to make the software patch in the aircraft. It's really just changing an input from one source to another. We think it solves -- we're confident it solves the problem because we saw it in the lab. Once we test it and we see that it works in the airplane exactly like it works on the lab, which is our expectation and we have high confidence of that because of what we've done, it's not complicated. We'll tell the FAA, hey, we're ready to start the last sets of flight tests. What will the FAA do? That's about 20 hours of flying, I think they've given us. 20 hours. That they wanted. It could be less. Basically, they just want to fly the airplane with multiple pilots and see how reliable it is over a 20-hour period.  That will be scheduled. We -- I'm pretty confident that once we get on their schedule, we'll finish that in a week. I don't think it should take more than four or five days. And that's pretty full days of flying. Now that assumes that everything that we expect to perform forms as it does and that they see the reliability of the system, which we've got over 300 hours on the aircraft already between the first and second aircraft. So other than this one minor anomaly which we observed on long flights, we think we're there. I mean, we think the system does what it's supposed to do and we'll demonstrate that the update. Now, when they're done, they're going to review the results of the software change. They're going to assemble all of their paperwork and typically, you get the STC within 30 days. Could take longer, could take less. Some of the things we're going to ask the FAA to do is to work concurrently with reviewing all the paperwork between now and the time we start doing the final flight testing. When will we get the final flight testing done? That last set of tests, I don't know. And so I know you guys are going to press me on. Well, when's that going to be? What's the best case in a worst case? I'm not going to say. I've said that too many times. I think it's imminent. I've said that before. The fact that the FAA has said, hey, guys, as soon as you confirm this thing, let us know we want to schedule the flight test. I think that's a real positive sign that they want to finish this too. I think it's going to be a big feather in their cap to approve this in this superior technology equipment and further, there's just nothing like it out there today. And the fact that this takes so long to get done and so many flight hours of testing and is going through such a rigor to the FAA really creates a major barrier to entry for anybody else that wants to bring a system like this up to speed at any time in the foreseeable future. So we're confident that we're going to be a market leader with this product.
Michael Ciarmoli: Okay, okay, good. I think you said you're at 55 kits doing 15 a month, but it sounds like Universal and Elbit still need to produce hardware. I mean, everything -- component supply chain. What's the confidence level that, let's just say, you get the FAA approval, everything goes well. Are they going to be able to meet kind of your demands?
Martin Garmendia: It depends on the first order we get and how quickly that airline will start installing them. A number of the carriers that we're talking to are smaller. The big one, no, no way, I mean, if we get that one first, Bill, it's going to take a while to staff up for the several hundred 737NGs and MAXs that they've got in their fleet. So that will take years to build up to supply that customer. Again, I've said this before and I've continually been reassured by Universal and Elbit that they build an order as soon as they know what the requirement is, they'll build for it. They've got the capacity to do that. So I am optimistic that they will deliver on what they've committed.
Michael Ciarmoli: Got it. Okay. And last one, I'll jump back in the queue here. On the commentary I think Ken was talking about on the 757s. The guidance -- your revenue guidance assume all sales for the 757s presumably, there'd have to be some tweaking of guidance if you had more of those customers opt for leases?
Martin Garmendia: No, right now the guidance has a mix of leasing and us and write out sales.
Michael Ciarmoli:
Martin Garmendia: Right now there's not seeing any need to change that. But like Nick said, obviously, we're working on that. And we'll -- we see a need for adjustments, we'll come indicate that. But for right now, our projections already have that included.
Michael Ciarmoli: Okay, perfect. Thanks guys. I'll jump back in the queue.
Martin Garmendia: Okay. You're welcome, Mike.
Operator: Thank you. Your next question comes from Ken Herbert, RBC Capital Markets. Ken, please go ahead.
Ken Herbert : Yes. Hey, Nick. I just wanted to follow-up on your comments regarding the sort of the market opportunity for feedstock and asset acquisitions. The 125 year-to-date, obviously, we're early in the second quarter, but how's the environment changed in the last maybe three months in terms of airlines and lessors desire to maybe move some older assets. I mean, we continue to face delays in new aircraft deliveries And there seems to be traffic coming back strong and there certainly seems to be increased utilization of some of the older aircraft. So how has that market evolved? And how do you expect to sort of play out over the next few months?
Martin Garmendia: So I can talk about why we're winning more deals that we bid on than we have historically. Our hit rate is higher. I got to give you the exact number, but it is substantially higher than it has been. And why is that? And I've said this before, but it's worth reiterating. Airlines need more flight equipment than what the leasing companies and the owners and the airlines are not doing is taking aircraft that need heavy work, landing gear overhaul, engine overhaul, heavy airframe checks, structures work, and they're not investing the money to refurbish those airplanes, because they're still hoping that they'll eventually get the new aircraft and they don't want to invest and refurbishing these older maintenance intensive pieces of equipment, because unless they're going to keep that for the long-term, they're not going to get the return on that investment. So those are the assets that are coming our way. And the reason we're winning more of those assets than many others is because of very, wholesome integrated multi-dimensional infrastructure we have where we can do the things necessary to refurbish those aircraft at the whole level and at the peace part level including the engines. So the financial buyers out there, they can't do that. So they're stepping away. They can buy an aircraft on lease and they can pay a price at which getting much lower IRR than we would seek. So we're not getting those deals. But pretty much if it's something that needs a lot of work or only has it's an airframe and an engine or just engines. That's right up our alley. We've got the machinery to process that and extract maximum value and that's our market today. And occasionally, we pop an airplane that, wow, this was the better than we thought we picked up a good airplane with decent equipment on it. But that's rare and for the most part because other people can buy that and they can find a place to put it if they don't have to do much work on it. But the stuff that needs a lot of work, that's our cup of tea.
Nick Finazzo : Yes, if I could add, I think our multi-dimensional model also has allowed us to get better returns than a lot of our competitors. I think we've noted in the past that we target IRRs of 25% and greater. And with the cost of capital and some of our competitors that have !re much more levered than we are and do not have the ability to monetize the way that we do. That's really taking a big bite of the apple of their profits and that's going our way. Because again, we have been used to operating an environment where we target a high IRR.
Martin Garmendia: Just let me further elaborate on that. I mean, we've seen deals where we feel and this has been the last several years that investors are acquiring assets with the expectation to get a low double-digit or even a very high single-digit return. Well, that just got wiped out almost completely by an imputed interest rate that for people that have to go out there and acquire capital or look at alternate uses of the capital that they have, as you're approaching a 10% hurdle rate, a deal that's high single digits doesn't work and even low double digits doesn't work when you factor in the effort and the risk adjustment. That's another reason why we're waiting deals.
Ken Herbert : Okay. Very helpful. Thanks, Nick. Thanks, Martin.
Martin Garmendia: Okay. Welcome.
Operator: Thank you. Ladies and gentlemen, as a reminder -- I apologize for you. There are no further questions at this time. I will now turn it back to Nick, AerSale CEO for closing remarks.
Nick Finazzo : Okay, Bert. And Ken and Mike, thanks for the good questions. And for everyone listening today, thank you for listening to our AerSale’s first quarter financial results. We will continue to work hard and smart to deliver on our full year guidance. I hope you'll listen in on next quarter's call to get an update on our progress as we go forward. Have a good evening, everyone.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.